Masaomi Gomi: Good afternoon. This is Gomi, Head of Investor Relations at Coca-Cola Bottlers Japan Holdings. Thank you for joining our full year 2025 earnings presentation for analysts and investors. Today, we are joined by our President, Calin Dragan; and CFO, Bjorn Ulgenes. Also with us are Executive Officer and President of the retail company, Alex Gonzalez; Executive Officer, President of the Food Service Company and Chief Business Strategy Officer, Maki Kado; Executive Officer, Chief Supply Chain Officer and Chief Sustainability Officer, Andrew Ferrett; and Executive Officer and Chief Human Resources Officer, Yuki Higashi. Following prepared remarks, we will be happy to take your questions. Simultaneous interpretation in Japanese and English is available for both today's presentation and the Q&A. Before we begin, please note that today's presentation contains forward-looking statements and should be considered together with cautionary statements contained in our presentation materials. With that, I'd like to turn the call over to Calin Dragan. Calin-san, please?
Calin Dragan: Good afternoon, everyone. This is Calin Dragan. Thank you for joining our earnings call. And first, I will go over the key highlights of today's presentation. Please turn to Slide 3. 2025 was a fantastic year that delivered many remarkable results, increasing our shareholders' value. Business income exceeded our forecast even after they were revised upward twice during the year and reached JPY 24.5 billion, more than doubled than the previous year. Despite the challenging cost environment, we maintained a robust profit growth trend. Over the past 3 years, cumulative business income growth totaled JPY 39 billion. I would also like to highlight that this JPY 24.5 billion business income includes significant cost increases from external factors such as foreign exchange fluctuations and increased commodity prices. I would also like to emphasize that adjusted business income, excluding the cumulative impact of this factor since 2017 exceeded JPY 50 billion and reached a new record high. This clearly shows that our profitability improvement initiatives are delivering steady results. Building on the strong earnings performance, we revised our strategic business plan upward in August and announced the new Vision 2030. We set ambitious targets for key metrics and continued our commitment to further increase shareholder value. In October, we also announced an expansion of our shareholder returns. We view this positive cycle where we have consistently improved performance and enhanced shareholder returns to be one of our major achievements for 2025. In 2026, we will continue this positive momentum as a year of great progress towards achieving our ambitious long-term goals. This year, our business income target is JPY 35 billion. This marks the 4th consecutive year of earnings growth exceeding JPY 10 billion. At the same time, we will enhance shareholder returns, including a 20% year-on-year increase in dividends. And as the -- first year of Vision 2030, we will pursue profit growth and higher shareholder returns to further increase shareholder value. Now our CFO, Bjorn Ulgenes, will walk you through our financial results in more details.
Bjorn Ulgenes: Thank you, Calin. Good afternoon, everyone. This is Bjorn. Please turn to Slide 5 for the full year profit and loss. In 2025, our profitability improvement measures and other initiatives proved successful. As a result, profits increased significantly following the previous year. Sales volume also performed well and outperformed in the market experiencing negative growth. Revenue remained broadly in line with the previous year and exceeded the revised plan announced in October. Price revisions improved wholesale revenue per case despite the impact of channel mix changes. Gross profit decreased by JPY 3.1 billion year-over-year. This was mainly due to a weaker channel mix and higher external costs. It also includes a onetime revenue decline linked to changes in Coca-Cola Japan companies marketing investment method. Business income increased significantly by JPY 12.5 billion year-over-year. This was mainly driven by top line growth and cost savings from transformation initiatives. Factors contributing to the profit increase will be explained shortly. Operating income and net income decreased from previous year. This was primarily due to an impairment loss of JPY 88.4 billion in the Vending business, recorded during the second quarter. EBITDA, a measure of cash generating profitability, rose by JPY 6.7 billion year-on-year to JPY 64.2 billion. Slide 6 shows segment performance. In 2025, the OTC and Food Service businesses supported revenue growth while the Vending business drove profit growth. In Vending, revenue declined due to lower sales volume from ongoing market contraction and the impact of price revision. However, segment profit improved significantly by JPY 6.1 billion. This was mainly due to transformation benefits including lower depreciation expenses associated with impairments and higher route productivity. In OTC, the market environment was challenging and volume declined due to price revision. However, growth in online and drugstores and discounters supported overall performance and full year volume remained in line with the previous year. Revenue increased by 1.7%, partially due to price revision. Changes in Coca-Cola Japan companies marketing investment methods had an impact which led to a decrease in segment profit. The Foodservice business achieved strong sales volume and revenue growth and earnings growth rate that was even higher. This was supported by expanded product offerings, activities to acquire new customers and price revision. Please turn to Slide 7 for the factors behind the change in business income. Starting from the left, we can see the impact of volume, price and mix. These reflect changes in marginal profit from commercial activities and contribute a positive JPY 8.8 billion year-over-year. The main factors were a negative impact of JPY 6 billion from volume effect, including channel mix, a positive impact of JPY 18.8 billion from pricing and a negative impact of JPY 4 billion from other factors. While channel mix deteriorated due to shifts in consumer trends, improved wholesale revenue per case from price revisions is steadily supporting results. Transformation benefits exceeded initial projections by a significant margin and reached JPY 6.9 billion. Major contributions came from commercial and supply chain with vending transformation, particularly exceeding expectations. Promotional expenses increased by JPY 0.9 billion year-over-year. Spending increased due to intensified activities to capture peak season demand and secure shelf space ahead of the October price revision. However, the increase was well controlled versus the initial plan through appropriate marketing investments based on market conditions and ROI. Manufacturing decreased by JPY 2.2 billion compared to the previous year due to cost savings at manufacturing sites and in the procurement process. Other costs increased by JPY 3.2 billion year-over-year. This was mainly due to higher outsourcing fees, logistics costs and vehicle and facility-related expenses, despite lower personnel expense. It also include special factors such as reduced depreciation following the vending business impairment and changes in Coca-Cola Japan companies marketing method. Commodity and utility costs increased by JPY 1.3 billion. Of this increase, JPY 1.4 billion was attributable to commodity market and ForEx rates, while utility costs decreased by JPY 0.1 billion. Next slide onwards is on commercial activities. Slide 8 shows sales volume performance by channel and category. Full year sales volume was flat year-over-year despite negative impacts from price revision. This was achieved by strengthening core categories, expanding sales space and executing effective marketplace. As a result, we outperformed declining markets. Wholesale revenue per case also improved across all channels following price revision benefits. By channel, sales volume for vending and convenience stores declined due to price revision. However, in Vending, wholesale revenue per case improved by JPY 90 year-over-year due to price revision. In convenient stores, profitability improved through higher wholesale revenue per case, disciplined control of rebates and promotion. Supermarkets, drugstores and discounters face challenging conditions, especially for large PET buffers due to price revisions and the cycling of the previous year's special demand. However, in the fourth quarter, we captured increased demand opportunities and achieve positive volume growth. Online and Food Service continued to perform well and supported overall volume growth. Online volume increased by 17%, driven by the channel exclusive labelless products and other initiatives. Food Service volume increased by 9%, supported by stronger Sparkling sales at restaurants and related initiatives. In the Sparkling category, volume increased by 5%, led by Coca-Cola and Coca-Cola Zero. Tea volume grew by 1%, mainly driven by Ayataka, which delivered double-digit growth last year following its successful full product renewal. Ayataka further grew by 2% with the launch and renewal of multiple products, including Ayataka Koi Ryokucha, sports, water and coffee, so volume declines due to the impact of price revision. Slide 9 shows market share and retail price trends. Our profitability focused commercial activities supported value share growth and maintain price premiums. Market share increased by 0.2 percentage points in total channel value share and 0.5 percentage points in volume share. Despite tough market conditions, our volume continued to outperform the market and contributed to positive value share growth. In Vending, the market remained challenging and value share declined. However, effective demand capture measures, including Coke ON campaigns, supported volume share growth, while wholesale revenue per case improved through price revision. In the OTC channel, value share declined due to volume decreases from price revisions and channel and package mix. However, in the fourth quarter, we capitalized on increased demand opportunities resulting in a 0.6 percentage point increase in value share, showing recent improvement. Our products continue to maintain the price premium relative to the industry average. In October last year, we implemented our 8th price revisions since 2022 and retail prices continue to show an improvement trend year-over-year. Slide 10 covers key topics in our 2025 commercial activity. Despite continued challenging market conditions in 2025, we implemented price revisions to improve profitability while enhancing competitiveness and achieving volume growth performance of the market. In 2025, in line with our profitability focused strategy, we implemented price revisions twice in May and October and work to maintain and improve shipment prices after the revision. The effects of these price revisions have materialized as planned and contributed significantly to profitability. Alongside price revisions, we flexibly controlled rebates and promotional costs. Through ROI-focused marketing activities, we work to contain costs and allocated resources to mid- to long-term growth investments. We have also announced ahead of the industry, our 9th price revision this March, targeting Green Tea products. This shows our strong commitment to further profitability improvements in an environment of rising industry costs. From a competitive perspective, we also delivered solid results. By strengthening core categories, expanding sales pace and executing effective marketing, our sales volume consistently outperformed the market experiencing negative growth throughout the year. Implementing these growth strategies within clearly defined business units has led to a more effective business operations and performance management, contributing to enhanced competitiveness and improved results. We are confident this will form the foundation for our mid- to long-term growth. Slide 11 explains our sustainability and human resource strategies for sustainable growth. For environmental and community initiatives, we invested in projects that reduce environmental impact in the future. This includes conducting road tests of large trucks using renewable diesel, a new generation biofuel contributing to decarbonization and demonstration projects that generate clean electricity from tea and coffee grounds, while using refurbished high purity CO2 as a manufacturing power source. At the Osaka, Kansai Expo, we implemented horizontal PET bottle recycling through bottle-to-bottle and introduce groundbreaking initiatives, such as the world's first vending machine powered by hydrogen cartridge. To strengthen human capital, we focused on recruitment, development and retention to enhance the pipeline at each stage to increase the ratio of female manager. As a result, we achieved our 2025 target of 10% female managers ahead of schedule. We also introduced initiatives to support dual-income households, shared parenting and flexible work style. These ESG initiatives have been highly recognized and our company has been selected for multiple indices. We will continue to advance our efforts towards achieving ESG initiatives, that supports sustainable growth. From the next slide, Calin will explain our 2026 full year plan.
Calin Dragan: Thank you, Bjorn. This is Calin again. In our strategic business plan, Vision 2030 aimed at further increasing shareholder value, we have set ambitious shareholder return targets alongside profitability and capital efficiency goals, such as business income exceeding JPY 80 billion and ROIC exceeding 10%. We consider 2026 the first year towards achieving this Vision 2030 to be a crucial year. And as mentioned earlier, we positioned 2026 as a year of great progress towards achieving our ambitious long-term goals. We aim to further increase profits beyond the substantial growth achieved in 2025. We will also enhance profitability and capital efficiency with a focus on ROIC while further expanding shareholder returns in line with our Vision 2030. Our 2030 targets are ambitious. However, we are confident that steady profit accumulation will allow us to achieve them. With this conviction, we will move ahead with determination in 2026. Slide 14 outlines the strategic direction for 2026. In commercial, as a key initiative for achieving commercial excellence outlined in Vision 2030, we will further evolve the business operation structure for each business unit aiming to enhance competitiveness and profitability. We will strengthen our market execution through an optimized product portfolio and marketing plans while continuing to focus on profitability driven commercial activities, including price revisions throughout this year. We will also focus on further strengthening customer engagement, which is crucial for accelerating our growth strategy. Furthermore, through transformation, we will generate an annual cost savings of JPY 6 billion, while building a solid growth foundation for the future. Within the supply chain domain, one of our key pillars, we will continue to focus on strategies that achieve further productivity gains through the local production for local consumption model in both manufacturing and logistics, while strengthening demand-driven agile responses. Furthermore, in the back office and IT fields, we will further advance data-driven management. To strengthen our financial foundation, we will continue to strive for appropriate capital management and utilization aiming to improve capital efficiency, including optimizing our balance sheet. Through a steady advancement of these initiatives, we aim to achieve business income of JPY 35 billion, an increase of over JPY 10 billion from the previous year, with a ROIC of 4% or higher. Regarding the shareholder returns, we will increase the annual dividend per share by 20% compared to the previous year and complete the second year of our JPY 30 billion share buyback program by October. While aiming to achieve this ambitious 2026 targets, we also intend to realize the year the positive cycle embodied in 2025, improving performance and expanding shareholder returns. Now Bjorn will take you through the details of the 2026 earnings plan.
Bjorn Ulgenes: Thank you, Calin. This is Bjorn again. Slide 15 shows the P&L for the full year 2026 plan. For 2026, we plan to achieve revenue of JPY 902.7 billion, representing a 1% increase year-over-year. While we anticipate a 1.5% decrease in sales volume compared to the previous year, due to the continued challenging market environment and the impact of price revisions on volume, we plan to steadily implement profitability improvement measures, including price revisions to achieve a strong improvement in wholesale revenue per case. Gross profit is targeted to grow by 4.3%, outpacing revenue growth driven by improvements in wholesale revenue per case from price revisions and other factors as well as controls and sales deductions such as rebates. For the 4th consecutive year, we aim to achieve business income growth exceeding JPY 10 billion, targeting JPY 35 billion. We will provide details on the factors driving changes in business income later. Operating income and net income are projected to improve significantly year-over-year, driven by increased business income and the cycling effect of the impairment loss on the vending business recorded in the previous year. EBITDA is projected to reach JPY 70.1 billion, an increase of JPY 5.9 billion as we steadily enhance our profit-generating capability. Slide 16 shows the P&L by segment. The Vending business is projected to achieve revenue similar to the previous year despite anticipating continued challenging volume trends across the overall market due to the impact of price revisions. On the other hand, we expect segment profit to increase significantly by JPY 9.3 billion as we accelerate the transformation of our Vending business, leveraging technology. This includes the effect of reduced depreciation expenses following the impairment of the vending business in the previous year, but even excluding this factor, we will achieve solid profit growth. For the OTC business, volume is projected to decline year-on-year overall, impacted by the challenging market environment and volume declines due to price revision, despite anticipating growth in the robust online segment. In contrast, we anticipate a 2% increase in revenue driven by improved wholesale revenue per case resulting from the effect of price revision. Segment profit is targeted to grow by 5%, exceeding the revenue growth rate through price revision benefits and optimal promotional investments focused on ROI and cost control. In the Food Service business, we anticipate strong volume growth of 3.5% driven by expanding product offerings to enhance customer proposals and the results of new business development activity. We aim to increase profit through top line growth. Please turn to Slide 17 for the factors behind the change in business income. We aim for an increase of JPY 10.5 billion year-over-year, driven by top line growth and the realization of transformation benefits. Starting from the left, we can see the impact of volume, price and mix. We target JPY 10.2 billion improvement over the previous year, primarily driven by the positive impact of price revisions, improving wholesale revenue per case while factoring in the continued trends in volume and channel mix. Cost savings through transformation will generate benefits across all areas; commercial, supply chain, back office and IT, aiming for a total profit contribution of JPY 6 billion. We will steadily advance this plan as outlined in Vision 2030. DME plans to increase its budget by JPY 1 billion from the previous year to further strengthen the growth foundation toward achieving Vision 2030, we will strategically execute marketing investments focused on ROI that drive mid- to long-term growth while taking market conditions into account. Regarding manufacturing, we expect to reduce costs by approximately JPY 0.2 billion through measures such as maximizing utilization rates and yield rates at manufacturing. Other costs are projected to increase by JPY 3.5 billion. Overall costs are expected to rise as we implement necessary investments and expenditures at appropriate levels to achieve Vision 2030. This figure includes the reduced depreciation effect associated with the impairment of the vending business recorded in the previous year. The impact of commodity prices and utility costs is expected to deteriorate by JPY 1.4 billion compared to the previous year, primarily due to foreign exchange impact. While the upward trend in cost is expected to continue, we believe we have been able to mitigate some of the cost increases through collaboration with the Coca-Cola Systems global procurement organization and our own unique procurement strategy. Now starting with the next slide, Alex will explain our 2026 commercial strategy. Alex, please go ahead.
Alejandro Gonzalez Gonzalez: Thank you, Bjorn. Alex here. Slide 18 outlines our 2026 commercial strategy. In commercial, we will enhance competitiveness and profitability through business unit-specific operational framework. As pillars of our commercial strategy, we have established strengthened portfolio edge, ensure profitability focused commercial activities, strengthened relationship with customers and business unit-specific operations. Now let's move on to the next slide for a detailed explanation. Slide 19. In collaboration with Coca-Cola Japan Company, we will strengthen our portfolio age centered on the 3 pillars you see here. Establishing our core involved strategically focused on our core brands, enabling Coca-Cola Trademark to achieve robust growth last year and deliver one of the highest volume growth rates within the global Coca-Cola system. This year, we will continue implementing initiatives to expand our share in meal occasions and enhance our shelf presence. Additionally, Ayataka has achieved growth for 2 consecutive years since its full renewal 2 years ago. This year, its third year since renewal, we will implement price revisions while leveraging the competitiveness we have strengthened to capture demand. Starting this month, we have launched a campaign encouraging people to enjoy rice bowls with Ayataka. In Georgia, we will strengthen sales through campaigns at convenience stores and vending machines near workplaces, aiming to establish drinking habits in work settings and expand our customer base. For strategic new products, we will enhance sales by relaunching Karada Sukoyakacha W+ with a renewed focus on promoting its consumption during meals, responding to growing consumer demand for health and wellness. Additionally, for Ayataka Koi Ryokucha, we will broaden consumer choices in daily life by offering a diverse range of package sizes, meeting a wide variety of drinking needs. Minute Maid Zero Sugar Lemonade was launched in March last year as a juice beverage offering zero sugar and zero calories, capturing the growing health consciousness trend. Since its launch, it has been well received and has contributed to the expansion of the growing thirst quenching juice market. We plan to introduce new products and aim for continued growth across the entire series. To deepen connection with consumers, Coca-Cola will leverage FIFA World Cup assets to maximize drinking occasions. Furthermore, the Coke ON app, a key digital engagement tool, has surpassed 65 million downloads, contributing to the growth of repeat users. We will continue to evolve this platform. Slide 20 is on commercial activities focused on profitability. To maximize profits, pricing strategy will remain a key initiative this year. We will maintain disciplined commercial activities to generate the benefits from the series of price revisions we have implemented. Additionally, we will proceed as planned with the price revisions for green tea products effective for shipments starting March 1. This marks the 9th price revision for our products since 2022. Revision applies to approximately 10% of our total sales volume with the adjustment rate representing an increase of 6.3% to 12.1% of the manufacturer's suggested retail price. Price revisions remain a key measure for improving profitability and form the growth foundation supporting our sustainable profit growth. We will leverage the gain from our series of price revisions to implement strategic pricing approaches that adapt to changing environments while continuing to explore further price revisions. We will also focus on mix improvement and strategic growth investments, implementing profitability focused commercial activities from a broader perspective. We will strengthen sales of profitable small package products and high value-added products to strategically deploy optimal products and packages tailored to customer profiles and competitive environment and focus on ROI-driven marketing investments from a mid- to long-term perspective. By executing these initiatives, reliably under a strong partnership with our customers, we will achieve improved profitability. From Slide 21, we will now explain business unit specific operations. In the Vending business, we will enhance profitability and capital efficiency through technology-driven transformation. This year, we will accelerate the placement of new profitable vending machines. This will be achieved by introducing new targeting tools for placement locations, building a digital platform that combines vast amounts of data to gain insights into locations with promising profitability and revamping our operational processes to enable efficient and effective new placements. We will further enhance sales and operational efficiency by focusing on strategic assortment and flexible pricing and packaging strategy. Regarding assortments, we will improve the quality and precision of our initiatives. So just updating the AI engine of the assortment system introduced last year, while also sequentially rolling out measures to achieve optimal pricing and packaging tailored to each location, implementing this through ongoing testing. Additionally, as part of our digital marketing efforts, we will continue to strengthen initiatives on the smartphone app, Coke ON. We will implement individualized strategies based on usage patterns and sales data to acquire new users and increase purchase frequency. Furthermore, to strengthen the foundation of the vending business, we will work to optimize costs and capital investment by reviewing operational route designs, revising transaction terms, effectively utilizing equipment and prioritizing system investments focused on return on investment. Slide 22 covers the growth strategies for the OTC business and the Food Service business. In the OTC business, we will thoroughly execute market strategies tailored to each area and stores unique characteristics. We will focus on establishing core products as staples aligned with consumer needs, while aiming to expand shelf exposure, particularly for Sparkling and Tea. In convenience stores, we will pursue the development of customer exclusive products. We will also appropriately manage and execute promotional investments, including rebates based on ROI. Investment will be directed to our initiatives aimed at fostering buying habits, such as implementing digital-driven promotions and integrating retail media with in-store activation. Furthermore, focus on enhancing proposal capabilities through AI and strengthening comprehensive collaboration with customers to build a foundational -- for sustainable, high-quality profit growth. In Food Service business, we'll focus on expanding beverage consumption occasions by strengthening tailored proposals for each customers and building a strategic partnership with customers that leverage our strengths. We will optimize equipment and product assortment with a focus on profitability while also leveraging digital tools to stimulate demand. By concentrating on effective and efficient activities and creating drinking occasions, we will strive to expand business opportunities. I will hand it back now to Bjorn.
Bjorn Ulgenes: Alex, thank you. This is Bjorn. Slide 23 outlines our initiatives in the supply chain and back-office IT. We will build a robust business foundation through a transformation to achieve Vision 2030. In supply chain, we will continue to enhance productivity by further promoting the local production for local consumption model in both manufacturing and logistics. This year, we will establish a new integrated logistics center, IDC, in the Kanto region, following last year's launch of such a center in the Kyushu area. Leveraging our accumulated knowledge, we will accelerate the reorganization of our logistics network, including the consolidation of product inventory and logistic hubs. Additionally, we will fully implement the new supply planning platform introduced by the end of 2025 as the foundation for our SOP process. By leveraging AI and utilizing detailed data and analytical capability, we will strive to further improve the process. Additionally, in the second half of this year, we plan to commence operations for new aseptic production lines at our Saitama plant,, which involves modifying parts of the existing production line. This will enhance overall manufacturing capacity in the country region. The back office and IT areas, we will further advance the standardization and streamlining of business process. We will also integrate various IT systems and data to drive data-driven management. Preparations for the future introduction of a new core system will also be undertaken. We will accelerate these initiatives by leveraging access to DX best practices within the global Coca-Cola system. Please turn to Slide 24. I will outline our financial strategy and shareholder returns. Each business unit will manage and enhance not only profitability, but the ROIC as well, which will lead to an improvement in the company-wide ROIC. We will also focus on executing capital investments with an emphasis on ROIC and on initiatives to optimize the balance sheet. ROIC improved by 1.8 percentage points year-on-year in 2025, reaching 3%. This year, we aim to improve it by at least another percentage point targeting 4% or higher. We will also focus on improving our cash generation capabilities, which serve as the foundation for expanding shareholder returns. While we have a JPY 60 billion corporate bond repayments due this September, we will consider borrowing and refinancing options while keeping an eye on mid- to long-term funding needs and considering balance sheet leverage. Our earnings power is steadily improving, and we will continue to allocate the generated cash appropriately between growth investments and shareholder returns. Regarding shareholder returns, we will expand them as planned on the Vision 2030. The dividend, based on our progressive dividend policy, we plan to increase dividends for the third consecutive year. This year's annual dividend per share is planned to be JPY 72, a 20% increase from the previous year that grew 13%. Furthermore, the share buyback program totaling JPY 30 billion. Now it is second consecutive year and implemented since last November, is progressing as planned and is scheduled for completion by the end of October. Whilst details for the 2027 program has not yet been decided, based on previous levels, we are considering a buyback equivalent of JPY 30 billion or more. Now finally, for the summary. Maki, please take it.
Maki Kado: Thank you, Bjorn. This is Maki. Allow me to conclude today's session. Please turn to Slide 25. Once again, 2025 delivered outstanding results and proved to be a remarkable year. The growth foundation we gained through transformation pursued even under challenging conditions, combined with profitability-focused business activities contributed to increased profits and enable us to achieve significant progress. The substantial improvement in performance we have realized thus far provides momentum and confidence toward achieving our ambitious Vision 2030 goals. Furthermore, I would like to reiterate our strong commitment to enhancing shareholder returns and our track record of delivering results. To increase shareholder value, it is crucial to create a positive cycle by simultaneously improving profitability and capital efficiency while expanding shareholder returns. We believe that embodying this cycle represents a significant achievement contributing to the realization of Vision 2030. Moreover, based on our track record to date, and the outlook for 2026 and beyond, we are now setting a new target for business income in 2027 at between JPY 45 billion and JPY 50 billion. While this is an ambitious target, we believe it is achievable, given our track record and the steady progress of key initiatives according to plan. This further strengthens our commitment to the Vision 2030 goal of over JPY 80 billion in business income. To ensure the growth trajectory towards 2030 outlined here, the success of 2026, the first year of Vision 2030 is of crucial importance. By executing the strategy explained today, with unwavering focus, we will firmly achieve our 2026 business income target of JPY 35 billion and launch Vision 2030 with a strong momentum, aiming to further increase shareholder value. That concludes today's presentation. Thank you for your attention. Now we will move on to the Q&A session. Gomi-san please take it from here.
Masaomi Gomi: Thank you, Kado-san. This Q&A session is intended for analysts and investors. Members of the media are kindly asked to refrain from asking questions at this time as a separate session will be held later today. [Operator Instructions] We will now begin the Q&A session. Operator, please proceed.
Operator: [Operator Instructions] Ihara-san from UBS Securities.
Rei Ihara: This is Ihara speaking. So I would like to ask one question. On Page 25, you were talking about like JPY 45 billion to JPY 50 billion for 2027, the return is also very strong in commitment in the tone. So I feel a confidence in the management here. But on the other hand, probably by looking through the length of the stock market, we were wondering the external environment is really harsh, but you have a very, very strong confidence. I feel that the communication is a little bit weak in here. So my question is when it comes to mid- to long-term plan, I know you are very confident, but what is the reason behind your confidence? I know there are something obvious to us, but there must be something that we are not yet realizing. I would like to understand where the confidence comes up from -- within your company?
Masaomi Gomi: Thank you, Ihara-san, for your question. From the midterm mid- to long-term perspective, you would like to understand why you are confident about this plan? So Bjorn-san, would you like to pick up this question, please?
Bjorn Ulgenes: Ihara-san, thank you for the question. So as you said, we are confident about the trajectory our business is on. And that's why we also thought it would be helpful for you to see a 2-year range so you can evaluate how we are progressing towards those strategic targets. And I think the root of your question, if I got the translation correct, is what's the source of the confidence? I think there are several things. One, we have a clear vision where we're going. We know our targets, we know our KPIs and the whole purpose is executing against that. Everything will stand and fall on commercial execution. And every day, we're seeing the 3-legged business unit approach we have or segments, as we also call them, continue to perform very well according to the job ticket they have been assigned. So that's the overall commercial part. And if we have time, maybe Alex and Maki can build on that. The second part is transformation. You saw very strong results for transformation in 2025, and we continue to build on that across the board, the Commercial business units, supply chain and back office. And three, you also see from the shareholder-related results that we're putting out there with the dividends, the share buybacks and the commitment to continue, so is the source of a very strong balance sheet. So overall, we believe these key fundamental elements will enable us to deliver our targets. Thank you.
Alejandro Gonzalez Gonzalez: Ihara-san, Alex here. Just to provide a little bit more color on the business unit. I think to begin with Vending, clearly, we have over the last 3 years and particularly last year, driven a significant profit growth back to the strategic role of this business unit in Vision 2030. And we will continue to accelerate beyond the learnings of what we have captured until now. And again, back to the track record of delivering in a very challenging environment, we have been able to grow ahead of the market, indeed, the market growth. Particularly with Vending, we will move further into more granular growth looking at unlocking opportunities beyond the total Japan but really looking at where by subsegment closures and location level and unlocking and deploying the tools and the data-driven strategies back to placement back to how are we allocating the capital in the market and how are we driving assortment. But just to give you a color on Vending.
Masaomi Gomi: Thank you, Ihara-san. So I hope that answered your question. Operator, please put through the next question.
Operator: Next person with a question, SMBC Nikko Securities, Furuta-san, please go ahead.
Tsukasa Furuta: SMBC Nikko Securities, Furuta speaking. So I have one question. So the concept behind the guidance for this term. So volume mix effect will be much higher than last year. So there is an impact of the price revision in last October and also deterioration of channel mix. And also -- so not many manufacturers announced the price division. So considering everything, how are you going to deliver on the plan for this term for 2026.
Masaomi Gomi: Furuta-san, thank you for your question. So in the guidance for 2026, so there is a tough situation in the volume price mix and how we can deliver on the high target. Bjorn will answer the question. Bjorn-san please.
Bjorn Ulgenes: Thank you, Furuta-san. So I think the essence of how we're going to deliver the plan is included in our waterfall. So let me try to put some context around it. One, we believe the Commercial profit will increase, which is a combination of what I said to Ihara-san's question around 3 business units executing their job ticket. And yes, as we also said, there are some challenges in the market with, for instance, Vending, not growing as fast as OTC and Food Service. But overall, we believe the combination of focused Commercial plans, price increases and a good management of our trade investments will deliver the commercial profit. When it comes to transformation, I think you would agree with me that we have delivered on our promise to change the business, and we will continue to do so across the board. This is not one specific business unit or function carrying the transformation. It comes from all the significant functions in the company, including IT. We're managing our investments, as you saw from the waterfall. Yes, there will be some increases in DME or marketing investments as we support the effect of the price increases and the channel mix. We are continuing the excellent track record in our manufacturing and our logistics to again, make sure we manage cost per case and in our investments. And we are offsetting a lot of the inflation we see coming through, especially on third-party outsourcing expenses and logistics in a good way to overall manage our performance. There is impact from a weaker yen that continues to hit the commodity basket. But overall, I think a very balanced way of achieving our 2026 guidance.
Masaomi Gomi: Operator, could you move on to the next person with a question?
Operator: Saji-san, from Mizuho Securities.
Hiroshi Saji: I have a question for Slide 25. For next year's guidance, thank you very much for the next year's guidance. And this year, the next 2026, except the depreciation is JPY 6 billion, JPY 7 billion, profit has increased. By 2027, in that sense, the depreciation -- because of the impairment, impact will be shorter or smaller and the performance amount, I believe the amount will be increased, that is the forecast, I think. But what I'd like to ask is that for 2027, comparing with 2026, the transformation initiatives or what will be the differences for the 2 years? So what is the driver for accelerating the growth? What is your thought?
Masaomi Gomi: Saji-san, thank you very much for your question. For next year, what are the factors that are going to increase the profit? And for this, I would like to ask Bjorn to take this question.
Bjorn Ulgenes: Thank you, Saji-san. Excellent question. Let me try to give a little bit of context to it. One, on the commercial arena, as we have said earlier, our main focus is to execute the commercial strategies across the 3 business units with 3 different job tickets. And as you heard earlier, we are surgically focusing on leading on price and therefore, positive price mix that would be one of the elements. But secondly, also pick up the very important points that Alex had in his prepared remarks and also his answer to Ihara-san, data-driven profit growth. And as we keep on investing in Vending, but also an integrated finding, as you heard about earlier, and overall, in our tech-led transformation programs. All of this will start taking effect, we estimate, from 2027 onwards. So that will give us new insights that we either can't find today or will take a lot of time to develop. We will have them more at our fingertips. And that, again, will enable us to sell smarter and spend market. So the major changes are going to be primarily internally driven that we can control, but of course, also working, as I said earlier, striving for positive pricing. Hope that gives a little texture to your question. Thank you.
Hiroshi Saji: So the transformation initiatives, the positive increment of the profit, so that will expand for 2027. Is that correct?
Bjorn Ulgenes: Correct.
Masaomi Gomi: Operator, please move on to the next person.
Operator: Daiwa Securities, Igarashi-san.
Shun Igarashi: This is Igarashi from Daiwa Securities. I have a question on the business units. So I would like to hear more about the sales activities, especially Food Service. And I'm seeing that you are having a lot of outcomes and success in the Food Service. And looking at Page 16, it seems in terms of sales, volumes is going up. So you have a positive outcome in this area. And what I have heard so far, it seems that you have expanded lineup and you have new customers that you have achieved as well. But to be more specific, what kind of success are you really seeing in the sales activities? And when we think about the Food Service right now, so the mix out of your total business is still small. But probably, if you have a great success here, you'll be able to expand it to other businesses? Would that be possible? That is my question.
Masaomi Gomi: So your question is about Food Service business, about volume, sales, why is it really strong? And are we able to use the learnings to the other business areas, was another question. And I would like to ask Kado-san to answer this question.
Maki Kado: Well, thank you very much for the question. This is Kado-san from Food Service. I would like to mention 3 points. First of all, looking at the past 2 years or so, I would like to say, basically, the foundation part has changed. What I mean by that is, for example, in the past, Bjorn, Alex, they have explained this already, but let me repeat. So we are using more data. So it's data driven than the past, and we're getting all the insights from the data. So we're doing that. And also, our sales members have a stronger skill set. So the capabilities are really being stronger. So we have been really improving the base or the foundation of our business. And I think this is the foundation for success in the couple of past years. And the second point I want to mention is, again, I have mentioned this before, but we have customers that are winning at. So we want to have a closer collaboration, a very strong relationship with these customers, and that's working as well and that is another source of our growth. And talking about the future, so how should we proceed in this way. I think what we have to do is we need to make sure that we have more customers that we can win with, we would need to have sales activities based on strong proposals. That will be our ultimate goal. So that's my third point. We have already been doing it; OTC, Vending team, we have been collaborating already. We have been changing information. Of course, we are sharing our learnings to them, and vice versa, are the learnings from OTC and Vending. So they have a long history in their commercial activities. They have really achieved lots of success as well. So from those teams, we are gaining lots of insight information as well. So it is like it is a vice versa, mutual relationship that's really working. And we want to continue to do that. Thank you very much.
Masaomi Gomi: It is already time, but we would like to take one more question. Operator, please move on to the next question. This will be the last question. Thank you.
Operator: Sumoge-san from BOA.
Manabu Sumoge: Sumoge, from BOA. I would like to ask about the guidance. On Page 17 on your presentation, I would like to understand this. So in others, you said that you are factoring in the reduction of the depreciation from the Vending impairment. But I think other than that, we also have the cost elements here. So I would like to understand what are the other parts. And also, Kyoto has already put up some market investment because you have to secure the volumes since you have hiked the price. But I see your marketing expense is not going up that much. I believe that you are having very good control. So I know it's all in all a very positive trend. But is this feasible? My overlap to other questions, but I would like to understand about the marketing expenses? And also, what are the costs that are increasing?
Masaomi Gomi: So you would like to understand about the cost elements on the waterfall chart. I would like Bjorn-san to answer to that detail. Thank you.
Bjorn Ulgenes: Sumoge-san, let me try to give a little picture to you. First, let's start with the others part. So yes, correct, negative JPY 3.5 billion, but that includes the close to JPY 5 billion of the positive impact of the depreciation, correct. So what is happening inside here, we are having inflation as most other companies in Japan, for instance, of logistics and outsourced expenses and overall inflation in general. That's one element, sort of the cost increase part. The second part, we are also investing, as you heard me said a couple of times today and also Alex talked about in Vending, we are investing ahead of the curve to again reset of how we work with data and using technology level transformations going forward. And you've also heard in our prepared remarks late last year and for this year, we went live with an integrated end-to-end planning system, which again, demands investments for us to be able to reap the benefits later back to my answer to Saji-san earlier about what the future benefits that we're going to see from all of this. So, net-net, we're seeing cost increases but also investments ahead of the curve in others. When it comes to DME, we are surgically focused, Sumoge-san, on having an ROI when we invest in the marketing activities together with the Coca-Cola company, as you know. So this will depend on the customer landscape. It will depend on the channel and also the competitive environment where we commit to managing these expenses just like we do with every other expense in our P&L. Hopefully, that added a little texture.
Masaomi Gomi: We have run over time. So we would like to close the Q&A session for today. All these materials will be uploaded to our corporate website. If you have any questions or feedback, please reach out to IR team. Thank you very much for your participation.